Operator: Greetings, and welcome to the FleetCor Technologies, Inc. First Quarter 2017 Earnings Conference Call. As a reminder, this conference is being recorded. 
 I would like to turn the conference over to our host, Mr. Eric Dey, Chief Financial Officer, of FleetCor Technologies. Thank you, Mr. Dey. You may begin. 
Eric R. Dey: Good afternoon, everyone, and thank you for joining us today. By now, everyone should have access to our first quarter press release. It can be found at www.fleetcor.com under the Investor Relations section. Throughout this conference call, we will be presenting non-GAAP financial information, including adjusted revenues, adjusted net income and adjusted net income per diluted share. This information is not calculated in accordance with GAAP and may be calculated differently than other companies similarly titled non-GAAP information. Quantitative reconciliations of historical non-GAAP financial information to the most directly comparable GAAP information appear in today's press release and on our website as previously described. Also, we are providing 2017 guidance on both the GAAP and non-GAAP basis. 
 Finally, before we begin our formal remarks, I need to remind everyone that part of our discussion today will include forward-looking statements. This includes forward-looking statements about our 2017 guidance, new product and fee initiatives and expectations regarding business development and acquisitions. They are not guarantees of future performance, and therefore, you should not put undue reliance on them. These results are subject to numerous risks and uncertainties which could cause actual results to differ materially from what we expect. Some of those risks are mentioned in today's press release on Form 8-K and in our quarterly report on Form 10-Q filed with the Security and Exchange Commission. Others are described in our annual report on Form 10-K. These documents are available on our website, as previously discussed, at www.sec.gov. 
 With that out of the way, I would like to turn the call over to Ron Clarke, our Chairman and CEO. 
Ronald F. Clarke: Okay, Eric. Thanks. Hi, everyone. I appreciate your joining the call today on short notice. Upfront here, I plan to cover 3 subjects. First, I'll comment on our Q1 results and rest of year outlook. Second, I hope to set the record straight on questions regarding our fees, our billing practices and our customer service. And then lastly, I'll discuss the Cambridge acquisition announcement, along with the rationale for the deal. Okay, so on to the quarter. We reported a good Q1. Revenue was ahead of our internal expectations by a few million and cash EPS exceeded the high end of our guidance range. We reported revenue of $520 million, up 26% and cash EPS of $1.96, up 28%. No big macro story. The macro environment was effectively neutral in Q1 versus the prior year, and it was really right in line with our 2017 expectations. Very importantly, our organic revenue growth accelerated to 10% in Q1. That includes our global fuel card line of business, which also grew 10% in the quarter. And as a reminder, that accounts for about half the revenue in the company. New sales were good. They grew 12% in the quarter versus last year. So in terms of growth, what drove growth in Q1, really 3 things. First, the addition of STP, which we did not own last year. STP continues to perform really on plan, grew 12% in constant currency in the quarter. 
 A second driver was double-digit growth in almost every product line. I mentioned fuel cards are 10%, our Corporate Payments are 13%, tolls are 12%, hotels are 15%. And then lastly, last driver, we enjoyed a 3% lower tax rate in the quarter versus plan. Eric will provide a bit more detail on the reason. This also added to our beat. So look, all in all, really good start to the year. So in terms of rest of the year outlook, we are staying put with our initial 2017 guidance. The macro seems to be right where we called it, and we expect the tax rate to flow back to a more normalized level of 29.5% for the rest of the year. So with those assumptions, we'll flow-through the $0.11 beat to our Q1 guidance, raise our full year 2017 cash EPS estimate at the midpoint to $8.31, which will represent a 20% increase over 2016's reported $6.92. Okay, let me shift gears and weigh in on the various questions that we have been getting regarding customer fees, billing practices and our customer service. I mean, upfront here, our opinion is that these research reports are fake news and exaggerations. There is obviously not enough time today to deal with all of the inaccuracies. So I'll cover just a few here. So start with customers and customer value. Look, you have to provide value and benefits to customers. That's why customers use our products. In the case of fuel cards, value is really in 4 areas. One, hard savings, the actual rebates or discounts the customers get from retail prices; two, purchase controls that limit on authorized purchases; three, convenience, an easy way for the employees to make purchases on the company's behalf; and then, last is reporting an automated record-keeping in exception reporting system. So those are the 4 benefit areas for fuel cards. 
 Last year, in 2016, our customers got hard savings that is discounts or rebates from the retail prices of their transactions that approximated $1 billion, $1 billion. So that's more than the total of all the customer revenue in every business we have combined. So we provide plenty of hard savings to customers. So do we get customer complaints? Yes,  of course, we do. We serve 700,000 active customers that are build on average 30x per year, but our registered complaint levels relative to the size of our client base is lower than a lot of our B2B card issuer peer group. We believe our customers are getting value and getting benefits with us. The most direct proof is customer retention, which runs over 90%. And our small clients can leave our service at any time. There is no minimum contract period. So we think we provide lots of customer value. Okay, size of fees, these miscellaneous fees. So let's address the size of our so-called miscellaneous fees. So in 2016, the total of the "miscellaneous fees" was about $100 million, I call it 6% of revenue, and of that, about 75% is concentrated in just 2 fee types, minimum program fees and high-risk credit fees. The balance of our customer revenue is in 5 big businesses. Those would be STP, SVS, telematics, CLC and Comdata trucking. So the fees in those 5 businesses are quite simple and quite straightforward. So a couple of examples. In STP, customers pay somewhere between $5 and $7 a month to get an electronic toll sticker that allows them to go nonstop through all the tolls in Brazil, an average of 14x. In SVS, where the clients are large retailers, they pay for the creation and processing of their branded gift cards under long-term contracts. So in these 5 businesses, they are close to 0 miscellaneous fees. 
 Okay, let me talk a little bit of late fees. The question we're getting is, do we make customers pay late? Do we, FleetCor, make customers pay late? So, no. First off, sizing of late fees total about $100 million last year. We carry receivables balance and AR balance of about $2 billion. We lose $50 million annually in credit losses and fraud, clients that don't pay us. We spend over $15 million to finance receivables. So that the size of our late fee revenue $100 million seems quite proportionate to us. Also, most customers pay on time every cycle. In fact, over 85% do can pay on time. Over 50% of all of our U.S. customers pay electronically, and the balance pay via either a PNC or region's lockbox where checks are posted 2x daily. So maybe clear, paper checks never come to FleetCor, never come to FleetCor. Look, our policy is straightforward. We comply with all the laws that regulate our business, all of them. And we are in the business of satisfying clients or we wouldn't have any. We are also not perfect. We make mistakes, we get customer complaints. But look, in the aggregate, across all the clients and all the transactions and all the statements, we do a terrific job. We provide lots of value, lots of hard savings, we got lots of satisfied clients and we retained 90% of the clients every year. So pretty positive. 
 Okay, let me leave that and shift gears here and go over to the Cambridge transaction, which we announced a bit earlier. So we -- at the outset here, I want you to know that we posted a brief PowerPoint on Cambridge on our website which you might find helpful. So we have signed definitive documents to acquire Cambridge for approximately CAD 900 million or USD 675 million. We expect that deal will add about $0.05 of incremental cash EPS this year. That's assuming a Q3 close. And then post the deal, we're looking at leverage being roughly 2.9x. So under our 3x target. 
 In terms of the description who is Cambridge. In a nutshell, they are an international cross-border payments company that processes roughly $20 billion in B2B cross-border payments. They serve about 13,000 small and midsized clients and they make international AP payments to both suppliers and employees, and they do that in 140 currencies, 140 currencies. We estimate Cambridge's 2017 revenue at about $125 million. Their revenue has grown impressively 24% compounded over the last 5 years. 
 In terms of the business model, I'd say it's quite FleetCor-like: recurring revenue, limited CapEx, limited working capital, even high barriers to entry. You need money transmitter licenses to participate in this space and obviously, need a global banking disbursement network, which is quite difficult to replicate. So why the deal, what's the rationale for FleetCor to look at a cross-border B2B company? So first, we like the market. It's big, big opportunity. It's estimated to be $145 billion opportunity, which is larger than the domestic AP market that our Comdata Corporate Payments business is in. It's also served almost exclusively by banks. So we like the opportunity to compete. Second, we think the growth prospects in Cambridge's case are great. They've doubled revenues over the last 4 years. And we think, given the large market size, their sales investments and their technology advantage, that they can double revenue again. And third rationale is really the synergies with the Comdata, our Corporate Payments business. The customer type, size of customers are almost identical to Comdata. But on the Cambridge side, they enable international AP and Comdata enables domestic AP. So clearly, all of the Cambridge clients have to pay domestic AP. So we think there is a pretty big revenue opportunity to capture, if we can offer up Comdata's virtual card solutions into the Cambridge client base. 
 Look, we like the deal, we like the transaction. It's a terrific company, targeting a large market and served almost exclusively by banks, with a very similar customer target as Comdata. It is the third largest deal that we've done in FleetCor history. So we invested lots of time here on the thesis and are quite confident that we can double Cambridge earnings over the next 3 to 4 years. So, look, in closing, before I turn it over to Eric, I must say that we're quite disheartened that some outsiders have questioned our commitment to customers -- to our customers. I mean, customers are the only reason that you have a business. So we are reconfirming our policy and commitment to act in only the utmost compliance with the laws that regulate our business. We're going to keep moving forward. We're going to move forward hard. We're going to win new accounts. We're going to double down the third of the accounts that we have, and we're proud here of the way that we compete and the way that we play. So don't bet against us. 
 So with that, let me turn the call back over to Eric. He'll provide some additional details on the quarter. Eric? 
Eric R. Dey: Thank you, Ron. For the first quarter of 2017, we reported revenue of $520.4 million, up 26% compared to $414.3 million in the first quarter of 2016.
 The revenue from our North America segment increased 8.7% to $329.9 million from $303.5 million in the first quarter of 2016. Revenue from our International segment increased 72.1% to $190.5 million from $110.7 million in the first quarter of 2016.
 For the first quarter of 2017, GAAP net income increased to 11.3% to $123.7 million or $1.31 per diluted share from $111 million or $1.17 per diluted share in the first quarter of 2016. The other financial metrics that we routinely use, our adjusted revenues and adjusted net income, which we sometimes also refer to as cash net income or cash EPS. 
 Adjusted revenues equal our GAAP revenues less merchant commissions. We use adjusted revenues as a basis to evaluate the company's revenues, net of the commissions that are paid to merchants who participate in certain card programs. We compute adjusted net income to eliminate the effects of noncash or nonrecurring items that we do not consider indicative of our core operating performance. A reconciliation of adjusted revenues and adjusted net income to GAAP numbers are provided in Exhibit 1 of our press release. Adjusted revenues in the first quarter of 2017 were $496 million, up 29% compared to $386 million in the first quarter of 2016. Adjusted net income for the first quarter of 2017 increased 27% to $185 million or $1.96 per diluted share compared to $145.7 million or $1.53 per diluted share in the first quarter of 2016. 
 First quarter results reflect the impact of the macroeconomic environment. When we talk about the macroeconomic environment, we are referring to the impact that market fuel spread margins, fuel prices and foreign exchange rates have on our business. Changes in foreign exchange rates from the first quarter of 2017 were primarily negative, and overall, we believe negatively impacted revenue during the quarter by approximately $5 million. 
 Fuel prices were mostly favorable during the quarter. And although we can now precisely calculate the impact of these changes, we believe they positively impacted revenues by approximately $10 million. And finally, spreads were mixed and, we believe, unfavorably impacted our results by approximately $7 million. So in total, the impact of these changes had a nominal negative impact on our first quarter revenues of approximately $2 million and adjusted net income per diluted share of approximately $0.01. Organic growth was approximately 12% for the first quarter of 2017 or 10%, when excluding the impact of the macroeconomic environment. We have additional financial disclosure this quarter, consistent with reporting of our 2016 year-end results, which can be found in our earnings release. We have added organic revenue growth in the revenue by product category. So now you can see not only the revenue per transaction for each of our major products, but you can also see organic growth for each major product category on a pro forma and macro-neutral basis. We have also included additional disclosures around our major sources of revenue. In major sources of revenue from customers, we are including processing and program revenue, late fees and finance charge revenue and miscellaneous fee revenue. 
 Included in processing and program fee revenue, our revenues from customers based on accounts, cards, devices, transactions, load amounts and/or purchase amounts, et cetera, for participation in our various fleet and workforce-related programs as well as revenue from partners, such as major retailers, leasing companies, oil companies, petroleum marketers or processing and network management services. These revenues primarily represent revenue from North America Trucking, lodging, prepaid benefits, telematics, gift cards and toll-related businesses. Miscellaneous fees include nonstandard fees from customers based on customer behavior or optional participation, primarily including high-risk credit surcharges, overcredit limit surcharges, minimum processing fees, printing and mailing fees, environmental fees, et cetera. 
 Miscellaneous customer fees accounted for approximately 6% of total revenue in the first quarter of 2017. Now let's shift over and discuss other drivers of our first quarter performance. For our North American segment, most of our lines of business performed well, resulting in approximately a 10% organic growth rate in the quarter on a constant fuel price and spread basis. Some of the positive drivers in North America during the quarter included our MasterCard fuel card, which had organic revenue growth of approximately 23% over the first quarter of 2016. Our CLC business was up 15%, partner business was up 16%, Corporate Payments up 13%, just to name a few. 
 International segment organic revenue was also up approximately 10% on a constant macro basis in the first quarter of 2017 versus the first quarter of 2016. Similarly, our number of businesses performed well in the quarter, including the Shell Europe business, with revenue up mid-teens. Our Russia business has started to rebound and was up 18% in the quarter. Our Mexico business was up 23% and our Travelcard and STP businesses were up in the low teens organically. So a pretty good quarter in the International segment. 
 Now moving down to the income statement. Total operating expenses for the first quarter were $325.4 million compared to $238.3 million in the first quarter of 2016, an increase of 36.6%. As a percentage of total revenues, operating expenses increased to 62.5% of revenue compared to 57.5% in the first quarter of 2016. Included in operating expenses, our merchant commissions, processing expenses, bad debt, selling and general administrative expense, depreciation and amortization expense and other operating net. Included in the first quarter of 2017 operating expense were ongoing expenses related to the acquisitions closed in 2016. Also stock-based compensation expense in the first quarter of 2017 was $24.6 million compared to $15.9 million in the first quarter of 2016. Deal-related expenses were approximately $1.5 million in the first quarter of 2017 versus approximately it's $500,000 in the first quarter of 2016. Credit losses were $13 million for the first quarter or 8 basis points compared to $6.8 million or 5 basis points in the first quarter of 2016. The increase in bad debt was primarily due to bad debt inherent in the acquired STP business, the addition of new euroShell locations and normal quarterly fluctuations of certain businesses. 
 Depreciation and amortization expense increased 79% to $64.9 million in the first quarter of 2017 from $36.3 million in the first quarter of 2016. The increase was primarily due to the STP acquisition. Interest expense increased 43% to $23.1 million compared to $16.2 million in the first quarter of 2016. The increase in interest expense was due primarily to the impact of additional borrowings for the STP and Travelcard acquisitions and increases in LIBOR. Our effective tax rate for the first quarter of 2017 was 26.1% compared to 29.2% for the first quarter of 2016. The reduction in the tax rate was primarily due to excess tax benefits on share-based compensation in the first quarter of 2017 versus the first quarter of 2016 and the favorable mix shift impact of higher international earnings in the first quarter of 2017 versus the first quarter of 2016. We reported $1.96 in adjusted net income per diluted share, up 28% compared to $1.53 in the first quarter of 2016. 
 Now turning to the balance sheet. We ended the quarter with $735 million in total cash, $188 million is restricted and consists of primarily customer deposits. As of March 31, we had $2.4 billion outstanding on our term A loan, $244 million outstanding on our term B loan and $569 million drawn on our revolver, leaving $467 million of undrawn availability. We had $676 million borrowed in our securitization facility at the end of the quarter. As of March 31, 2017, our leverage ratio was 2.80x EBITDA, which is below our covenant level of 3.75x EBITDA as calculated under our credit agreement. We intend to use our future excess cash flow to temporarily pay down the balance on our revolving credit facility and securitization facility, and maintain liquidity for acquisitions and other corporate purposes. 
 Finally, we are not a capital-intensive business, spending $15 million on CapEx during the first quarter of 2017. Now on to our outlook for the remainder of 2017. First, I want to update you on our latest thinking about the macroeconomic environment for the balance of the year. The good news is that, in total, the macro came in mostly where we thought it would be. The current trend is for fuel price and spread to continue to be at our prior guidance level for the balance of the year. And although foreign exchange rates are trending favorably to our prior guidance, we believe it is too early to make a change to our full-year guidance as a result of such a short-term trend. So in summary, we are leaving our macro guidance assumptions unchanged for the balance of the year. Our financial guidance is as follows: total revenues to be between $2,175,000,000 and $2,235,000,000; GAAP net income between $553 million and $573 million; GAAP net income per diluted share to be between $5.83 and $6.03. Adjusted net income to be between $780 million and $800 million; and adjusted net income per diluted share to be between $8.21 and $8.41. This guidance represents approximately a 20% growth in revenue and 20% growth in adjusted net income per diluted share for the year at the midpoint of the range. Some of the assumptions we have made in preparing this guidance include the following: weighted fuel prices equal to $2.43 per gallon average for 2017 in the U.S. compared to $2.15 per gallon average in the U.S. in 2016, up approximately 13%. This represents no change from our prior guidance. Market spreads returning closer to historical levels, up slightly from the 2016 average. This represents no change from our prior guidance as well. Foreign exchange rates equal to the 7-day average ended January 22, 2017. Although foreign exchange rates are trending favorably since the end of the first quarter, we need to see a longer trend before we update our full year guidance. SVS business is retained for 2017, and we will provide an update when the transaction closes. Interest expense of $100 million compared to $72 million in 2016. Again, no change from prior guidance. Fully diluted shares outstanding of 95 million shares. We are assuming a 29.5% per quarter tax rate for the rest of the year, which is consistent with prior guidance. The result is a full year tax rate of approximately 28.8% versus the prior guidance of 29.5% in total. No impact related to the closing of the Cambridge Global Payments acquisition. We will reflect in guidance once the acquisition is closed. Included on the company's website, as Ron mentioned earlier, is a presentation describing the Cambridge deal, which we plan to cover on today's earnings call. And no impact related to acquisitions or material new partnership agreements not already disclosed. 
 And finally, for the second quarter, we are expecting adjusted net income per diluted share to be approximately the same as the first quarter. The second quarter assumes improving revenue and operating performance versus the first quarter, offset by the expected higher tax rate, which is in line with our prior guidance. As a reminder, the company's volumes built throughout the year and new asset initiatives gained momentum throughout the year, resulting in a much higher earnings per share in the third and fourth quarters. With that said, operator, we'll open it up for questions. 
Operator: [Operator Instructions] Our first question is from Ramsey El-Assal of Jefferies. 
Ramsey El-Assal: I think, I may know the answer to this question, but I feel like I need to ask anyway. With all of the recent scrutiny with the fee and billing practices, has it had any impact on your go-forward ability to implement pricing actions or change of practices, or is it just business as usual? 
Todd House: Ramsey, it's Todd House here. I'd say, no. We've really seen no impact on our day-to-day business. Our interaction with our SMB clients. We've had a couple of our largest clients in the enterprise segment asked some questions, but it's been easily talked off. And I'd say, our partners, the branded partners BP and Chevron have also asked some questions, but in general, it's been quite easy to work with them. 
Ramsey El-Assal: Okay. So my next question, which I think your answer was no competitive impact as well? 
Todd House: .
 That's correct. 
Ramsey El-Assal: Okay. Could you elaborate a little bit on the Cambridge acquisition. How quickly can you implement the cross-sell opportunity there in terms of integrating the 2 organizations? Is it something where it's going to be a lengthy integration? Or is it something that's going to happen relatively quickly? 
John Coughlin: Hey Rams, it's John. I think -- we think of it as a really a cross-sell opportunity. So probably to reach full potential would be a couple of years out. But clearly, near term, for all new sales, that'll be selling both solutions. But when you think about the go-to-market, Cambridge has about 170 people, Comdata has about 100 people. So now instead of having 100 people or so at Comdata, we got 270. Instead of having 170 or so at Cambridge, we've got 270. So I think it will be powerful as it hits the market. 
Ronald F. Clarke: Ramsey, it's Ron. I mean, immediately, we are going to take some specialists in cards business from our business and put them into Cambridge so that we can go to their clients like Day 5 and start pitching the domestic AP solution. So we're not going to wait long to get at pitching our stuff to Cambridge. But to John's point, a fuller integration will take a bit longer. 
Ramsey El-Assal: Got it. And then on the lodging business, obviously, growth bouncing up pretty nicely there, understanding there are some easy comps, but are you seeing incremental health in some of your core verticals within that business, rail, energy, those types of clients? 
Ronald F. Clarke: Yes, it's good -- it's Ron, again. It's good to have the excuse train over. That stuff canceled out, Ramsey, flat finally for the quarter. So to your point, there was no [indiscernible] problem. In sales, we are at a record level. So it's healthy sales and no [ divit ] from the base. 
Operator: The next question is from David Togut of Evercore. 
David Togut: Good to see the acceleration in organic revenue growth. 
Ronald F. Clarke: Thanks, David. 
David Togut: Just digging in, did you provide same-store sales for FleetCor overall in the quarter? 
Ronald F. Clarke: 1.5% negative. 
David Togut: Okay. That's about the same level as we saw in the fourth quarter? 
Ronald F. Clarke: Yes, I think it was a -- it's a shade higher. Shade point, David... 
John Coughlin: Shade higher. 
Ronald F. Clarke: In Q4 in Brazil. I mean, the call-out I give you in that average is Brazil is still not great, let's call it 5% to 7% in Brazil. 
David Togut: Got it. Okay. And then, so WEX called out an increase in credit losses to 17 basis points in the first quarter, yours are significantly lower at 8 basis points. I would appreciate your insights on kind of why the big difference and where do you see credit losses going? 
Ronald F. Clarke: Yes, don't know, we don't follow their losses, but we've had no increase in either skimming or fraud or just losses generally. So I'd say that our forecast, which we looked at a couple of weeks ago, is kind of same old, same old. So we are not seeing it. 
David Togut: Got it. And then just shifting gears, revenue per transaction in the fuel card business did decline slightly by about 3% in the quarter. What were the main drivers behind that? 
Eric R. Dey: David, this is Eric. One is the addition of the Travelcard acquisition that has a lower revenue per transaction in the line average. So a little bit of mix going on in there as well. But if you look at the page that we provide and you look at them, you look at revenue per tran on a macro adjusted basis, it's actually up a little bit. So a, macro adjusted, it's up a little bit; and then b, the mix impact of Travelcard cause it to go down if you look at on a nonmacro-adjusted basis as well. 
David Togut: Got it. And then just a quick final question from me. Can you give us an update on organic growth at Allstar and how far are you through the conversion with Visa to chip card from mag-stripe in the U.K.? 
Ronald F. Clarke: Yes, David, it's Ron. So it's a two-part question. Let me take the second, first. So virtually done, I think, other than a couple of partners, all of the accounts that we control directly are now on the combined card. And I think we've got one partner left to move across. So that's good. And I'd say we are in the testing mode now of kind of opening that card up. So to kind of nonfuel spend the same program, I think I mentioned that we are on here in the U.S. So we are in a good place platform-wise that the whole book is over, and we're now trying to get smart on the segments and what offers we make to the clients that we've got. 
David Togut: And is growth picking up in that business from mid-single digits in Q4? 
Ronald F. Clarke: It's not. I don't have it in front of me. It was somewhere without the pound, without the FX and constant currency, it was, I think, probably mid-single digits. And again, the key to that, as I mentioned, is going to be the take rate. The fastest way to accelerate growth there is just nonfuel spend. So stay tuned on it. 
Operator: The next question is from Danyal Hussain of Morgan Stanley. 
Danyal Hussain: Just on organic growth, again, that was a pretty quick recovery from the second half of last year and I think you didn't really have much contribution from Speedway yet. So how did that come in versus expectations and where were you, I guess, most pleasantly surprised? 
Ronald F. Clarke: You want to take that, Eric? 
Eric R. Dey: Yes, I would say first of all from a Speedway perspective, didn't have a big contribution in the quarter. We are going through the integration, as we speak. So we did have some volume, but it was relatively low for the quarter, but it is going to start accelerating as we get into Q2 and then in the second half of the year, in particular. I would say we were -- I'd say pleasantly surprised at a couple of areas. One, I think, fuel cards came in at a pretty solid 10%. There was another very good contribution from MasterCard, and then the gift card business also came in very strong due to some card orders that came in in the first quarter. So those were kind of the 2 areas that I would call out. 
Ronald F. Clarke: Yes, I'd add Corporate Payments. Corporate Payments was a few million ahead of our plan. 
Danyal Hussain: Okay, great. And then I just wanted to ask about this internal review that I think had been referred to. Could you just talk a little bit about the scope of what we've covered and maybe some of the conclusions that you reached? 
Ronald F. Clarke: Yes, I would say, Danyal, we're in process. So we are running through an internal review of materials and websites and practices and how those various things compared to "market." So I'd say that that's kind of in process. And then two, we've retained someone kind of independently to also review same set of things so that I could get kind of 2 sets of feedback. So I'd say we're probably 1/2 to 2/3 of the way through both of those. 
Danyal Hussain: Okay. Are there any costs that we should be cognizant of for the second quarter? 
Ronald F. Clarke: Costs, did you say? 
Danyal Hussain: Yes, just, as it relates to this review. 
Eric R. Dey: No, it's not that material. 
Ronald F. Clarke: Immaterial. 
Operator: Our next question is from Sanjay Sakhrani of KBW. 
Sanjay Sakhrani: When you guys talk about synergies for Cambridge, are those revenues are -- are they also expense synergies? 
Ronald F. Clarke: It is Ron, again. I'd say predominantly revenue. If you look at the cost structure of that company, it's pretty weighted in sales and service, so the "G&A technology" piece is smaller generally. So most of the upside that we're looking at is revenue. 
Sanjay Sakhrani: Got it. And then we think about this specific deal and obviously, it being one of the larger deals that you have done, should we assume that kind of takes you out of the market to do deals first for a period of time? 
Ronald F. Clarke: Not a good assumption. 
John Coughlin: Never count us out. 
Ronald F. Clarke: Yes, again -- like we said around 3 and I think we posted our math is 2.9. So we are going to refi a bit make sure that we have capacity. John gets paid for what he does in the future, so they're working on additional things. So I said it before, if we find something in that pile that we want to close on and it bumps us up short term, then we will do it. And if we don't, we'll wait. 
Sanjay Sakhrani: Okay. It seems like it's a pretty active pipeline. 
Ronald F. Clarke: John, you want to comment? 
John Coughlin: Yes, it's always active. I think with 10 guys globally, I think, there is never a period of time when we're working on less than 5 deals actively. So we're always busy looking at things. 
Sanjay Sakhrani: Got it. And one final question. When I look at transaction growth in the toll business, it seems pretty weak. Could you just talk about that growth rate relative to kind of what you guys expect going forward? 
Ronald F. Clarke: Yes, again, that is -- it is. I think the volume, if you will, that tran growth is and it's back to this headwind 6%, 7%. People, GDP, employment crush in that geography, in that country, and so I think there -- even the great business that they have was fighting through their economic setup. But again, the -- a, the sales channel stuff that we're putting in and b, these new tolls the country is going to put online. I think those hopefully will create some lift even if the economy stays soft. 
Sanjay Sakhrani: Okay. Any timing on that on the new toll roads? 
Ronald F. Clarke: John, any view? 
John Coughlin: I haven't looked at it for a year. But when we look at it based on the government reports, I think they had 10 roads to be built in the next 2 years. But to be honest, I haven't updated that view. 
Ronald F. Clarke: Yes, we'll come back. It's a good question. We'll come back with a view on that. 
Operator: The next question is from Jim Schneider of Goldman Sachs. 
James Schneider: Just coming back on the customer fee and regulatory question, can you maybe just -- I don't think you mentioned any interactions with regulatory authorities like the FTC or CFPB or others? Can you maybe just talk about whether you've had any content from -- contact from those authorities as a result of any of the debate around these topics on customer fees? 
Ronald F. Clarke: Jim, it's Ron. No, no contact. 
James Schneider: That's helpful. And then could you maybe just talk a little bit about the Cambridge platform, and I guess, where do you see the segmentation of where Cambridge stops in terms of smaller businesses and then where the Comdata virtual card business starts? And maybe kind of talk about like what the natural border line is for the size of businesses you plan to service on the B2B side and kind of the specifics of the Cambridge technical platform? 
Ronald F. Clarke: Yes, there is a big overlap. If you think kind of $10 million at the low end and call it $300 million and you run the thing, $10 million to $100 million, $100 million to $300-plus million. The first and most important comment is they literally sit on top of each other. Both the Comdata business and Cambridge business serve accounts in kind of those small, medium and large, neither businesses in what you would think of as big enterprise, corporate, right, the payment of the banks. But inside that kind of small, medium and large, Jim, I'd say, Cambridge skews smaller, because they target businesses that might have a pretty big percent right of international business, international payments. So they are able to kind of serve a bit smaller client than Comdata, which is the domestic AP. But really happy attraction of this thing is the relatedness of the type of customers basically and the fact that, over time, we can integrate the sales force to sell 2 highly related things to the same account. 
James Schneider: Helpful. And then just a quick clarification, I think, your competitor WEX also talked about seeing increased on-time payments of -- by customers. Is that any kind of trend that you've seen in the quarter as well? 
Ronald F. Clarke: Nothing that stands out. We have obviously lots of different portfolios, but I'd say there is nothing in the trend one way or the other that's relatively constant. 
Operator: The next question is from Peter Christiansen of Citi. 
Peter Christiansen: Thanks so much for the discussion on the recent controversy and the added disclosure in the release. I guess, my first question is really on Cambridge. On a pro forma basis, how should we think about your vertical concentration within certain industries? 
John Coughlin: So, as Ron said, it's very similar. This is John talking. So it's calling on Treasurers and CFOs at $10 million to $300 million companies. When you think about what they are doing, they are doing international payments. So who makes international payments? People who have suppliers or employees abroad. So suppliers abroad would be manufacturing, retailers, wholesalers, professional services, actually like the legal vertical is a very big vertical, where they have foreign counsel they're paying to do work for them in their countries. So the -- it actually opens up several really important corporate -- domestic corporate payment verticals. All those 4 I mentioned are key target areas for Comdata and one of the reasons why we like Cambridge so much is that we are probably underrepresented in those verticals relative to the domestic AP market. 
Peter Christiansen: And has pricing been relatively stable? Do you see that expanding, just some sense of what the pricing trends have been in cross-border payments? 
Ronald F. Clarke: Yes, it's Ron. Let me take that one. I'd say that in the -- in kind of the old-fashioned phone trade and payments, I'd say, the thing is kind of inching down some, and I'd say the good news is in the online where this integration into the systems that runs at a higher rate and obviously, the mix is shifting big time that way. So if you look at this company in aggregate over the last 5 years, it's basically flat. Their bps per dollar spend are fundamentally constant for the last 5 years mostly, again, because the mix has moved to online. 
John Coughlin: Yes, I could add to that. So the online business has been growing at 4x the rate of the in-person trade business. So that, as Ron said, is at a higher rate. Another area that's at a higher rate and that's growing very quickly is exotic currencies. So if you look at what banks have done in FX over the past 5 years, a lot of them have gotten rid of their foreign correspondent networks and FX capabilities in smaller, nonmajor currency markets. And as a result, a lot of those people are turning to Cambridge for white label solution, the banks themselves. And if you are trying to send USD 100,000 to Malaysia, you will pay a higher spread to do that because it's an exotic currency. And so they are seeing that part of their business grow much more quickly than the rest. 
Ronald F. Clarke: Let me just add, Peter, because I failed to mention it, as you're talking here, the strategy, I think, for us, which maybe I didn't articulate well, is that we want to just capture more of a company's AP. So if you think about company's total AP, whether it's domestic or international or paid via check or paper today, historically, in the Comdata business, we've grabbed only domestic and we basically try to grab the paper. So we're getting 20%, 30% of a company's AP. We announced another initiative unrelated to Cambridge, where we're going to offer a complete AP, where we'll take it no matter how it's paid, whether there is still some paper to pay, whether it's ACH. So strategically what we want to do is basically be able to carve out a company's AP in its totality, whether it's virtual card, paper or check, whether it's international or domestic, we want the whole thing. And so that's strategically that's where we're trying to head and then to build the distribution system that can basically enable that. 
Peter Christiansen: And I guess, finally, longer term is there a risk here from real-time payments, is that a longer-term threat? 
John Coughlin: I don't think so. When you think about where this company is focused on, it's focused on the SMB sector, and I think that's one of the ways they win. We haven't talked a lot about that. So both Comdata and Cambridge go to market with really a three-pronged value prop. First is just focus. They are actually calling on these small companies, where the banks don't. Two is with differentiated service. They actually have specialists who know what they're talking about as opposed to a guy at the local branch bank who doesn't know anything about international payment. And then three, they have better technology that integrates with them. So the real-time payments is just the pipe, the way something gets paid, but not the consumer interface and how that payment integrates with their workflow. So Cambridge will go and then provide them a solution, "Hey, I got 1,000 invoices, I need to pay globally every month and I don't want to do that manually with 20 people." And so you can do them on the Cambridge system and what pipe it goes through is almost irrelevant to the people. 
Operator: The next question is from Ashish Sabadra of Deutsche Bank. 
Ashish Sabadra: Solid quarter and thanks for that incremental disclosure that was very helpful. I had a much broader question. There seems to be still misperception about the growth profile and the growth opportunity. And can you just talk about how much more penetration on cross-sell opportunity do you still have, because MasterCard grew at a pretty accelerated pace this quarter as well? So if you can just talk about how much of the growth can potentially come from penetration, especially in the U.S. SMB business and then cross-sell opportunity in your core business? 
Ronald F. Clarke: Yes, Ashish, it's Ron. I think we've said starting here, which is probably the most penetrated at least for the universal cards. It's through the mid-term, it's as long as we can see in this SMB segment. And then the second thing, I think we've told you is that we are launching a completely refashioned product line for what we call the micro accounts kind of 2 to 5 or 2 to 6 cards, which historically, we've kind of let them jump in the boat, but not chase them. So there are still -- as long as we can see in terms of trying to grow this thing, 10%-plus, plenty of opportunity here. And then as you roll into the next 2 big markets, Brazil, it's literally day 1, just beginning there. And then you roll into Europe, it's all about a better mousetrap with the universal product versus branded private label product. So I'd said it repeatedly, I think, we're going to try to do a better job producing some opportunity map for you guys. But it's not opportunity limited, it's basically sales and marketing limited. We just have to create enough pressure to make the category in our products known to people. 
Ashish Sabadra: That's great. That's very helpful. And then even when you talked about the retention being 90%-plus, when you think about that less than 10% attrition, can you help us understand how much of it may be bankruptcy or business is going out of business? 
Ronald F. Clarke: Yes, that's another really good question. It's probably 1/3 to 40%. The biggest one is really credit of that group, but there are accounts, obviously, that go out of business. So call it 4 in 10 accounts, we believe, would be what we would call involuntary. 
Operator: The next question is from Tien-tsin Huang of JPMorgan. 
Reginald Smith: It's Reggie filling in for Tien-tsin. Just -- I guess, kind of just want to follow up on Ramsey's question from earlier. I think he asked about competition. I'm just curious, with all the headlines, had you received any inbound calls from some of your existing private label partners and if you could share some of the, I guess, color around those conversations? And then, I guess, your most recent updated thinking on kind of the Europe partner pipeline in RFPs and [ all the good ] stuff? 
Ronald F. Clarke: Yes, Reggie, it's Ron. So yes, I mean, obviously, big companies, as Todd mentioned, including our partners call and go, "Hey, what is this? What is this stuff here?" So we've obviously tried to provide a few facts and point out the areas of pure fiction to them. So we've done that although it's not helpful, right. I think people allege stuff is not helpful. In terms of the Europe thing, it's kind of same as, I think, we said the last time, which is there are 2 pretty active European RFPs that are still progressing. They are still both saying they are going to make a decision, although as of this call, they haven't. So no more to report other than the couple of things that we're in the hunt for are still active, still alive and hoping they decide something. 
Reginald Smith: Got it. If I could sneak 2 more in. Just thinking about STP, just curious if you guys done any price modernization kind of what's been the early reaction or response from that, if you've done that? And then number 2, I think you talked about a $1 billion in savings that your cardholders get from having the card and kind of explain the value. Can you kind of put that in the context of what annual spend is, just to give us a sense for what that $1 billion is in relation to that? 
Ronald F. Clarke: Yes, the first one is, we don't do price modernization. I'm not familiar with. It doesn't mean much to me. But yes, we studied, I think I told you STP at some length, and determine that the company wasn't particularly segmented. It looked really at the totality of the 4 million or 5 million tag holder, sticker holders that they had and kind of used one-price-fits-all -- one-size-fits-all. So kind of priced everybody, some huge tractor-trailer that goes 65x with a bunch of axles and pays double the toll as Ron, the consumer who uses the thing once in a month to go to his vacation house. So our basic idea is where A, there's more value to some segments than others; B, there's more spend and credit risk with some segments than others. And so the pricing ought to be kind of better align to the value and that which may sound counter to FleetCor, but we're actually offering lower-priced programs that could draw in kind of light users. We think that the product is actually overpriced to attract some kind of convenience people, and then underpriced, if you will, for some of the higher value, higher users. So we have been, I would say, in our lingo kind of restructuring pricing to better match the value that people have got. On your second question, I don't have the matching spend, but I would say it's probably in the 50 bps to 100 bps range, so multiply by 10 or 20. The $1 billion is kind of the spend that's getting some kind of a discount. But the point -- as pointing that out is we wanted to make sure that people know that we have merchant agreements and we literally turn around and give some of that merchant money to clients to a tune of $1 billion. So if someone says that we don't provide any hard savings to people, we want to make sure it was clear that we do, we do actually provide hard savings along with some other benefits. In addition, Reggie, which I didn't say in there, but we also facilitate another couple of billion in discounts that are negotiated between clients and our clients -- vendors and our clients where they do a deal directly, and we basically help administer another couple of billion of discounts as an independent source, which is clearly helpful to our clients as well. 
Reginald Smith: Definitely, that was helpful and a good interesting data point, so we appreciate it. I didn't catch Comdata data growth this quarter, did you guys provide that? 
Ronald F. Clarke: 13%. 
Operator: And our final question is from Darrin Peller of Barclays. 
Darrin Peller: Just quickly on the MasterCard product, I mean most of the questions have been answered. But on the MasterCard side, I know the interchange rates have changed recently. I think you mentioned that was in guidance just to verify that. And then how meaningful is that as well as, I know you also -- I believe, you mentioned on the call renegotiated terms with MasterCard, I believe, if you can comment on that and what that effect would be? 
Ronald F. Clarke: Darrin, hey, it's Ron, again. So yes and yes is the headline answer. So sometime in April, I think, it was around the third week, MasterCard implemented a bit higher interchange in our category. And yes, that -- we have been aware of that and that was built into our '17 plan of guidance. And question 2, yes, we signed a new long-term agreement with them. Was it the middle of last year? 
John Coughlin: July. 
Ronald F. Clarke: In July of last year. That was obviously good for them because it committed us to kind of work with them even though we are obviously working with Visa in Europe, and they were good to us in terms of the terms. So we think it was kind of a win-win. 
Darrin Peller: Okay. All right, that's helpful. And then just quickly, Ron, bigger picture now. I mean this deal with Cambridge. Obviously, we have been waiting for another acquisition at some point soon in the Corporate Payments category makes sense given how strong the virtual payments product you guys have was -- I mean, what is your goal, again, in terms of let's say 3 years from now, 4 years from now to be in terms of percentage from card versus Corporate Payments? Are there other assets down the road? And how long we're going to wait now for the next deal? Just give a little bit more color on the capital allocation plans and really the overall strategy on where you want this business to be in, let's say, 3 years? 
Ronald F. Clarke: Yes, that's again, Darrin, a really good question. So again, I think, in Eric's tables here, we actually were right on 50% fuel card revenue for the quarter, 50% of the $520 million we reported. So with Cambridge, if we had that obviously, we'd be that now into the 40s somewhere, right, if we had the Cambridge thing. So what I would say is that, we invest and work on things that we understand. And so we've had a couple of years to understand the Corporate Payments. And I think with all the questions we get about opportunity, having a category that has massive opportunity like the Corporate Payments and the Cambridge, it's interesting to us now that we understand that the basis on which to compete. So one of the attractions to us is, John and I have looked at other companies in the same category and didn't pull the trigger on them before. Some of the more scale issues, some more mix, some different reasons. But now with this, we might go back and look, again, at some of these companies that we have added before. So I would say that, yes, we like this AP space. It's big. We think nonbanks can be advantaged. We think the game like always is distribution and specialized distribution. So the characteristics of it are, we think quite attractive and it's going to be a larger part. I think I'd be lying to you to say that, "Hey, I know it's going to go from a 15% to 23%," but I would say it's clearly going to be bigger. John got other things when he mentioned the pipeline that are in that set. And so over 3 to 4 years, I would think because the opportunity set in lodging and Corporate Payments and tolls, which we have owned for less times is larger. We will likely keep growing the business more in those segments. Of course, there are still some fuel card things that we're looking at. But I'd say that you should think about the fuel cards being 40% in 2 to 3 years versus call it 47% exiting this year. 
Darrin Peller: All right, that really helps. Really quickly any thoughts about a possible Investor Day at some point in the next year or 2? 
Ronald F. Clarke: Yes, with this particular noise and I do want to say, this is really unhappy for us to have fiction thrown at us and not an easy way to assure people that we do things right and we play the game fair. And so we have chatted over the last couple of weeks about showcasing the business more. So we will be back, Darrin, with something specific on that. We think it's starting to be probably a pretty good idea. 
Operator: Thank you. I'd now like to turn the conference back over to management for closing remarks. 
Eric R. Dey: I want to thank everybody for joining us today, and we will talk you next quarter. 
Ronald F. Clarke: Thanks, guys. I appreciate it. 
Operator: Thank you. Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time, and thank you for your participation.